Sami Taipalus: Good afternoon, everyone, and welcome to the Sampo Group First Quarter 2022 Conference Call. My name is Sami Taipalus, and I am Head of Investor Relations at Sampo Group. I'm joined on the call today by our Group CEO and President, Torbjörn Magnusson; Group CFO, Knut Arne Alsaker; and CEO of If, Morten Thorsrud. The call will feature a short presentation from Torbjörn followed by Q&A. A recording of the call will later be available on sampo.com/results. With that, I hand over to you, Torbjörn. Please go ahead.
Torbjörn Magnusson: Thank you, Sami, and welcome, everyone. Our first quarter performance proved resilient to the geopolitical and economic uncertainty and we had very strong development broadly in the group. We report excellent insurance underwriting results and our balance sheet remains solid at the end of March, allowing the launch of a new €250 million buyback program. After a complete Nordea exit last week, the balance sheet obviously contains surplus capital. So management will propose a new and larger program to the Board given that we get AGM approval for more buybacks. Taking a closer look at P&C insurance. Premium growth stood at 7% year-on-year despite a big decline in new car sales in the Nordics and the fact that car dealers and the car manufacturers are such important partners to us. Underlying margins were by and large, robust, with a strong 83.5% group combined ratio without any noticeable COVID effects this year. The margins have continued to improve gradually in the Nordics and there are no significant segments where we have an issue with increasing rates to match claims inflation. About two-thirds of our growth in the Nordics stem from rate increases, which is still slightly above the observed and expected claims inflation. Adjusting for volatile items like large claims, all If's business areas, private, commercial, industrial and Baltic Rim delivered excellent results. There are a few technical items to that, those results, including the effect of rising discounting rates and new Finnish mortality tables. But taking all these into account shows another period of improving underwriting margins. We consequently lower our full year guidance for If P&C's combined ratio to 82% to 84% down from 85%. As already mentioned, momentum is excellent, retention rates high and increasing, and much of this is on the back of leading web service offering. Turning to Hastings, I think it's fair to say that the UK market and ourselves has been surprised by a very rapid increase in claims inflation. The market had a number of things to take into account around year-end in addition to the normal claims severity and frequency development and did not price for the present level of claims. Motor repair shop prices, for instance have developed quite differently from the Nordics. We have remained positive to Hastings' trading behavior in these markets where we have remained conservative on pricing with the information at hand and where the company has developed more capabilities, for instance, in pricing, in synergies with If P&C, in claims handling and not least in home insurance. We are still able to grow home insurance quite rapidly and get appropriate rates. And we obviously prioritize results over volumes in the motor portfolio, pricing for our annual target, as always in Sampo. The capital markets were of course volatile in the first quarter. Higher interest rates have a positive effect on our business through higher reinvestment rates and also lower liability values. The discount rate punishment we have suffered in the past decade now goes in the opposite direction. Due to the short duration of our fixed income portfolio, we are relatively well positioned to rotate into higher-yielding instruments. On the downside, wider credit spreads and a decline in the equity markets had a negative impact on our first quarter returns. Turning then to a more recent development. Last week, we were able to complete our Nordea exit, continuing the good pace of strategic development and simplification. We had 200 million shares left to sell after selling 46 million shares in the open market earlier this year. There was strong demand in an ABO on Thursday night, and we were thus able to sell all the remaining shares. Our group is now a pure-play insurance company our core skill and the present momentum in all parts of the group is very good giving me a lot of optimism for the coming period. And with that back to you, Sami.
Sami Taipalus: Thank you, Torbjörn. Operator, we're now ready for the Q&A.
Operator: [Operator Instructions] And the first question we've received is from Blair Stewart, Bank of America. Your line is open. Please go ahead.
Blair Stewart: Thank you. Good afternoon, everyone. I've got two questions. Firstly, I wonder, if you could talk about leverage. I think, you said in the past that, all the proceeds from the Nordea disposal would be available to be returned to shareholders. So on the – if we talk in round terms, it's about €2 billion. What impact would that €2 billion have on your leverage? I mean, it doesn't take much calculation to suggest it would push above 30%. So I wonder, could you just remind us what debt reduction plans you have in place. So just basically, how should we think about leverage as and when you return the Nordea proceeds one way or another. And my second question, very simply is, what would the growth – the top line growth have been had you not have had that 20% or so drag or 20% or so weakening in new car sales in the period? Thank you very much.
Knut Arne Alsaker: Thank you, and good afternoon, Blair, it's Knut Arne here. On the leverage, it's absolutely correct that all the proceeds we now generated from exiting Nordea would be available for return to shareholders. And correctly, as you say, if we do so, the leverage will go above 30%, to the tune of 32%, 33%. And we plan to deal with that by working on our senior debt, and we have set aside liquidity for doing so from earlier sell-downs in Nordea. That was the sort of €750 million, €800 million that we need basically to reduce the senior debt to drop below 30%. And it's not taken out of the proceeds we generated last week.
Morten Thorsrud: Yeah. Then Morten here, I can comment on your growth question. So we are reporting 6.9% growth. And the headwind that we get from low new car sales is in particular, impacting us in Sweden due to the special car damage warranty system that you have there. If we would adjust for that and having new sales figures similar to last year, we would have had about 7.5% growth on -- If in total. It would push business area private, up a little bit above 5% and similarly also push growth in Sweden up a little bit above 5%. So, that's the impact of that.
Blair Stewart: Great. Thanks very much guys. Very clear.
Operator: The next question comes from Jimmy Fan, UBS. The line is now open, please go ahead.
Jimmy Fan: Hi, thank you for taking my questions. I have three please. So, my first question is on capital. I mean the surplus, obviously, a very strong level and also thinking about the rate made in April and the 30 percentage points that's relied from the full sale there perhaps we look at a surplus level of €3 billion. And you mentioned about this next buyback. Will that consume the full surplus capital you have or you're considering other use of this capital? And my second question is coming back to If P&C growth topic. And the growth in industrial was very strong at 1Q. And could you give a split between order growth and pricing there? And also in the private side like despite the decline in new car sales and the growth was also quite healthy could you give some color in terms of the pricing increase you have there versus claims inflation? My third question is about Hastings. It seems like you have also achieved quite a good level of growth in motor. Could you give a bit of color in terms of the growth state by new business and renewal achieved in motor insurance in 1Q? Do you believe the market especially in the new business market so If P&C is sufficiently pricing the claims inflation at the moment? Thank you.
Torbjörn Magnusson: Would you mind repeating your first question or a short version of it because we had difficulty hearing here?
Jimmy Fan: So, the first question is about the surplus capital you have and maybe that's a range close to -- or maybe at a level close to €3 billion. And you mentioned about the next share buyback program. I just wonder if that will consume the full surplus capital you have or are you considering maybe other use of your surplus capital? 
Knut Arne Alsaker: Thank you Paul for repeating. It's Knut Arne. You are right by saying that surplus capital level is around €3 billion or €6 per share. That's a fair assessment. And you're also right of course that further interest rate increases would have a positive impact on our capital position and solvency ratio in line with the sensitivities that we provide. In terms of deploying that surplus capital, we said when we exited Nordea on Friday that we as a management team would go to the Board and propose a buyback. And as Torbjörn just said it would be reasonable to assume that that would be a larger buyback than what we currently have proposed to the Board. But let's return to the size of that buyback after the AGM and given of course that the AGM give the Board authorization to buyback shares. And in the proposal to the AGM there's ample room to do buybacks. So, that's not a constraint given the numbers I was just referring to. And then, of course, after the AGM, management will do exactly as we said on Friday. 
Morten Thorsrud: Good. And then I'll try to answer your questions on growth and pricing trying to combine those two. I think in general about two-third of the growth that we report is price-driven and one-third about is more growth in a number of customers and objects. So, that's on a sort of high total If level. Price increases again on the total If level are in the range 4% to 5% typically. Then in some segments clearly above that and that's in particular in commercial and the large corporate segment. In the large corporate segment, you have two effects that plays in. One is the rate increases so what you would kind of look upon being kind of the real price increases that are of course substantial in industrial. And then on top of that you have increases in insurance values so the estimate of the property values the estimate of the business interruption values for the customers that we insure and that's also driving growth. So, I think that's comments on the rate increases part. But again on the total If level two-thirds about on driven by price increases, one-third of the growth driven by more underlying growth in objects. And with that we are, of course, able to price fully for the inflation that we expect going forward.
Torbjörn Magnusson: Then finally on Hastings. Hastings had growth in motor in the first quarter from rate increases, but the number of customers was roughly flat and maybe if you look at some of the companies that looks quite favorable in comparison. Some of the numbers are good for the development of the company. Retention is up. Switching, in general, in the UK market is a little bit down but that's no big surprise as prices came up with the GIPP reform. So, switching is a little bit more or less attractive. So, a flat number of customers for motor and an increase in home, of course.
Jimmy Fan: Thank you. Just a quick follow-up on the If starts. So, I mean the growth in industrial was very strong. Was that driven by any particular lines of business?
Morten Thorsrud: If it's driven by any particular lines of business was that the question? Yes, it's driven by price increases across the board, but of course, mainly within property. That is the larger part of the industrial business. So, that's in particular where we see sort of price increases and also increased values in the insurance sums. 
Jimmy Fan : Very clear. Thank you.
Operator: The next question comes from Jakob Brink, Nordea. The line is now open. Please go ahead.
Jakob Brink: Thank you very much. My first question is about the discounting. As you mentioned Torbjörn for the first time in quite a while, it's relatively positive, especially in Finland. And if I read your statement correctly, then half of the prior year gains of around 8% comes from discounting. Just wondering are you able to break up the discounting impact in the amount coming from reserve strengthening in Finland? And what part is sort of the running impact of a higher discounting rate, which will also impact in the quarters to come?
Morten Thorsrud : Yes, Jakob, Morten here. I'll comment on this. The runoff gain that we have this quarter is coming from two things. First is, change in mortality assumptions in Finland. So that's not linked to discounting, but rather that there is a new industry-wide estimate on impaired life effects from when you are in a car accident or have a workers comp claim, and the models have been adjusted for that and then we have a runoff gain. And that's roughly half of the runoff gain that we're reporting in the first quarter. So, a very significant impact for If in total and all of that again in Finland. Then the discounting effect and the gain that we have on that is actually from Sweden, Norway and Denmark, but predominantly from Sweden. And that's simply due to the increase in interest rate levels. The approach in Finland is a little bit different. We use a fixed rate in Finland. That's the market practice and that has been kept unchanged. And it's typically something while sort of Sweden, Denmark and Norway is following a market-based interest rate curve, again, the Finnish discounting is set at a fixed rate that we typically change if needed sort of once per year not sort of per quarter at least. So that's more a potential that is there if interest rates continue to rise and continue to be at this level, but that's kept unchanged at 175. So no positive effect yet from that in Finland. 
Knut Arne Alsaker : At 0.75. 
Morten Thorsrud : 0.75, yes. 
Jakob Brink: So just to be sure then on the part, which is related to discounting mainly in Sweden, how much of that is sort of reserve impacts either you're adjusting the reserve like a one-off due to the higher rates? And how much it is actually something that we should also model going forward that this is also new claims will benefit from the higher rate? Is that roughly 1:1 i.e. 1% on rates gives you 1% lower combined ratio in Sweden, or what is the relation? 
Morten Thorsrud : No, this is all sort of effects on reserves and the impact on sort of current year claims. Of course, it's very marginal. So, this is all basically on the reserves.
Jakob Brink: Okay. And then my second question regarding the running yield on the fixed income portfolio in If. So obviously as you mentioned a fairly short duration but also fairly short maturity of around two years. Is it fair to assume or is there anything I'm missing that let's say rates have gone up 1% then over the next two point -- is it three years we should see the whole the running yield growing from 1.6% to 2.6%?
Knut Arne Alsaker : Let's see sort of exactly what happens over the next two years. But you're absolutely right, I mean, the reinvestment yield that we now have is sort of more 2%, 2.5% than the running yield. So that's basically what we currently can invest that. And it's also true that in particularly in If then which you were referring to about half of the book is floaters. So we can -- we also enjoy a bit of pickup from that side of the fixed income portfolio. And just to add to this if someone has a question on that, I mean, what we're doing when we investing at these rates now is also to take a bit longer duration more up to five years than what you were referring to as our current average duration. And you could see us continue to do that also going forward as the rate market looks right now. But we're doing that in sort of gradual steps not sort of big, big changes on a daily basis. But the direction or travel that you're pointing at Jakob is correct.
Morten Thorsrud : And just to be clear on that -- just to be clear on the duration as we mentioned in If the duration in If is actually 1.1 year so very short.
Jakob Brink: Yes. And then just to be certain also on the sort of roll-up to the higher running yield is that front loaded, I guess, since it's -- what did you say, Knut, it's 50% floaters?
Knut Arne Alsaker : It's -- in If it's 50%, around 50% floaters, yes.
Jakob Brink: So we should get a lot of the rate -- if rates stay where they are, we should get that impact relatively soon?
Knut Arne Alsaker : Yes, that would be a correct assumption.
Jakob Brink: Okay. Thank you. And then my third question, just coming back to the question previously on buybacks. I think, Knut, you said that -- but I think, you said that what you had said is that buybacks the new buyback should be higher than the current one. Just to make sure which one are you referring to the €250 million or the €750 million or the combined €1 billion? 
Torbjörn Magnusson: It was the €250 million when I said it in the presentation.
Jakob Brink: Okay.
Knut Arne Alsaker : It's -- I mean, we -- and let's come back to the size when we have given the Board the proposal. But of course, it's -- the excess capital is clearly higher than both €250 million and €750 million. And given the volume, the average daily trading volume that we have it would be possible to also do buybacks over a 12-month period, which clearly is higher than the €750 million. But to be -- to discuss exact numbers, let's do that as soon as we sort of had that deliberation, the Board has had that deliberation.
Jakob Brink: Okay. Very clear. Thanks a lot.
Operator: The next question comes from Ashik Musaddi, Morgan Stanley. Your line is now open. Please go ahead.
Ashik Musaddi: Yes. Thank you and good afternoon. Just a couple of questions I have is, first of all, I mean, clearly, the combined ratio -- sorry, I joined the call a bit later on, so in case I missed it. The combined ratio and it came in surprisingly very, very strong at 80.8%, which is way better than your guidance of 82% to 84%. Now, would you say that as the year progress, we go back to 82% 84%, just because there was some positive runoff gains in first quarter, or would you say that, I mean, there are still momentum such as, say, people are driving less because of, say, higher fuel cost or any other reasons, why you think that combined ratio can still stick around at around 81%? That would be very helpful to know. That's number one. Second thing is, I completely get it that you cannot give clarity on the size of the capital return through the buyback. But is it fair to say that you would try to achieve the 170% to 190% solvency ratio by the end of the year, or would you say that, it could spill into 2023 as well? That's the second question. And third question is, I mean, clearly, the growth is still very strong at around say 7% in terms of top line. Part of that is coming from price part of that is volume. Looks like, price will continue, just because inflation is high. So would you say that the 6 -- 5% to 7% top line growth is sustainable, at least in the near future? Thank you.
Torbjörn Magnusson: Morten, do you want to start with, both the first and the third question?
Morten Thorsrud: Yes, I can do that. Yes, absolutely, the combined ratio of 80.8%, of course, is extremely strong, best ever first quarter combined ratio. And we do have a very good underlying profitability in all business areas, all segments. So I think, it's a very strong starting point for us. Then we have clearly more than normal runoff gain in the first quarter. So, of course, one need to bear that in mind. But, again, when you put all of these together, sort of, we are very comfortable with a very strong outlook of the 82% to 84%. But, again, first quarter has been supported a little bit extra by strong runoff gains. And COVID effects, there are really no material COVID effects anymore. So, I think, we are now more and more seeing what is the new normal level. And driving is more or less returning to pre-COVID level in all of the Nordic and Baltic countries. So there are no COVID effects really to report in the first quarter. Then to your question about growth, I said initially that, about two-third of the growth that we report is price-driven and that we have on a sort of high-level, total If level, somewhere around 4% to 5% growth increases. And this comes on top of very strong retention and also growth in number of customers. I think, of course, with those kind of price increases, it's fair to expect that, of course, we’ll have a positive impact on growth in the full year as well. So not wanting to point at a specific figure, but again, of course, it's fair to believe that strong growth continues throughout the year.
Torbjörn Magnusson: The one thing, Morten, to balance this a little bit with is that, we've had exceptional where we have had very high growth in industrial at the beginning of the year and more than 40% of the industrial book is renewed in the first quarter of 1/1. So that is a bit -- if you adjust for that in terms of proportions for the full year, that balance is the high number a little bit.
Morten Thorsrud: Yes. That's correct. It's -- the premiums are a bit front loaded in industrial, sort of, in the year. They have more of the first or first renewals than what you would find in other business areas in private with much more even renewal pattern. So, of course, when you see as high growth as 70% in Industrial that is driving up the figures a little bit in the first quarter.
Ashik Musaddi: Yes. Sure. Thank you. And just capital return.
Knut Arne Alsaker: On the capital, we are absolutely committed to our capital management framework of the €170 million to €190 million range. That has not changed to the conservative side. Obviously, that's not a target, which, sort of, necessarily have to be fulfilled on New Year's Eve, in this very special situation, where the excess capital is significant. And we have proposed to do a buyback and, obviously, would also be happy to do a buyback which continued into next year. Then technically, of course, what we have done and this is more technical than maybe what you're asking for, but what we have done, both for the €750 million and €250 million buyback, is to deduct the full buyback from our solvency ratio when that buyback is initiated. If we initiated the buyback that took longer, you could, sort of, discuss whether or not that would need to be fully deducted from the solvency at day one. But, of course, it doesn't really change anything since an announcement of a buyback would make a clear intention from the company's side as well.
Ashik Musaddi: I’ll put it like that, I mean, is it fair to say that you may choose the route to do the special dividend again to give the remaining capital?
Knut Arne Alsaker: What we said on Friday was that, we would go to the Board and propose a buyback and that's what we will do. I think, just to have a slightly broader answer linking it to our capital management framework, again, which is not only a comment related to the current situation, but we, of course, have the insurance dividend, which we are committed to. And if we have excess capital going forward, also after the specific Nordea proceeds, to do buyback or pay extra dividend, would be a part of that capital management framework. But what we know, we'll talk to the Board about, is the buyback.
Ashik Musaddi: Okay. Thanks, Knut. That was very helpful. Thank you.
Operator: The next question is from Tryfonas Spyrou from Berenberg. Your line is now open. Please, go ahead.
Tryfonas Spyrou: Hi. Good afternoon and congratulations on the strong set of results. I have three questions, hopefully, they will be brief. The first one is the impact on solvency from selling Nordea based on rough estimates around €2.1 billion market value, around 40% equity charge. Assuming everything else being equal, get to a solvency ratio of about 2.43, which implies around 39% uplift. So I was wondering the 9% difference is purely due to the loss of rectification. And I would be on this topic, does this €4 billion market risk guidance post the Nordea equity, that equity stakes still stand? That’s the first question. And the second question is, when do you plan on applying for a partial internal model for the group? Has this become more of a priority now that Nordea has been fully sold? And just lastly on Hastings, could you perhaps give us a bit more color on the price increases you've achieved in motor? Just to help us get a feel to what extent these offset claims inflation in the UK? Thank you.
Torbjörn Magnusson: I can do the Hastings first quite rapidly, because I don't think that -- it is clear that the market increase in prices has not been sufficient. I think that's very clear to most of the market by now. I also think that the claims inflation has changed very rapidly in the UK. So let's not give exact numbers, because things are likely to be a bit volatile over a period in the UK.
Knut Arne Alsaker: On the solvency impact, I didn't get all the numbers. I know that the 30%, we have calculated that's correct. I couldn't relate that to all your -- the numbers that you had. Obviously the ratio is -- the end result of the ratio is, of course, depending on where you start from on the SCR as well. So maybe the difference there could be related to that. But it's 30% positive impact on the solvency. In terms of PIM, I still don't have a timetable for you. But it's, of course, a natural point in time to intensify a bit of that preparatory dialogues now when we have reduced the market risk significantly by exiting Nordea. And we will return to you in terms of an indication of a time table as soon as that is something that we have. And the reason I'm saying that is as I also alluded to before such a timetable is a product, which is ours and also based on dialogues with regulators and EIOPA.
Tryfonas Spyrou: Okay. That's very clear. Just coming back to the solvency. So is the €4 billion figure for market risk a good approximation for going forward after you sold Nordea and assuming you exiting equity stakes as well? So is that a number, we should be looking at on a medium-term view I guess?
Knut Arne Alsaker: €4 billion for market risk sounded high. Was it market risk you said?
Sami Taipalus: Sorry Tryf were you talking about the €4 billion figure that we mentioned at the CMD for the SCR excluding Nordea and the PE stakes? That's the one you're referring to.
Knut Arne Alsaker: That's the total SCR. It's not only market risk. We're not there yet by the way, because we still have the PE portfolio. That might be one of the differences in your initial numbers, which I didn't catch. But the €4 billion SCR was the total SCR stack, not only market risk.
Tryfonas Spyrou: Okay. That's very clear. And that remains unchanged?
Knut Arne Alsaker: I mean, there's always smaller changes, but that's still roughly a reasonable level. Again we're not there yet because that was an indication also in terms of the €1 billion or so exposure we have in the so-called private equity portfolio including the Nordics, which we call subsidiary -- an associated company, my apologies currently but that's also a part of that market risk consideration. So we're somewhat higher everything else equal still, but it's still a valid number after selling those assets.
Tryfonas Spyrou: Okay. That's very clear. Thank you very much.
Knut Arne Alsaker: And mind you, my apologies that was also a number without a partial internal model.
Tryfonas Spyrou: Okay. Thank you.
Operator: The next question is from Faizan Lakhani, HSBC. Your line is now open. Please go ahead.
Faizan Lakhani: Good afternoon. Thank you for taking my question. The first is on the solvency ratio. There's a 13-point difference from the market that you pointed out, six points is from interest rates. Could you help me understand what the other piece is? And just more broader-based with the market effects, do you see that as a true increase in your solvency buffer, or are you remaining cautious on what that means as the market movement evolve? And the second question is on back to financial leverage. It's clear that you have enough liquidity on the balance sheet to do your debt actions. But in the short-term with a buyback, are you happy going above the 30% financial leverage level on an adjusted basis? And my third question is just coming quickly back to Hastings. Common case at Direct Line and Arne was suggesting pricing on an aggregate basis is where it is flat in the UK, but you've seen 10% improvement there without losing market share so to understand, how you're able to do that? Thank you.
Torbjörn Magnusson: Okay. Hastings first again. I don't think pricing 1/1 in the UK was flat. I don't think that Arne or the others have said that. And certainly we have been able to increase prices.
Knut Arne Alsaker: If I understand your question correctly, if we did define the symmetric adjustment movement as excess capital, we have the capital management framework where we have the €170 million to €190 million range and that is including everything. In a stress scenario, in a real stress scenario, which is what we're modeling when setting that range it's pretty clear what the symmetric adjustment would be, because the equity markets have dropped significantly. On leverage, yes, we would be happy to have a reported leverage somewhat above 30%. If we did a liability management exercise for example after we had initiated a buyback as long as we, of course, have liquidity to do what we say to deal with the debt and we do that is liquidity that we already have on our balance sheet, which makes it -- which makes our flexibility to work on our senior debt fully up to us, and of course subject to market conditions to find a good time to do that with reasonable economic impact.
Faizan Lakhani: Okay. Fantastic. Thank you very much.
Operator: There are no further questions at this time. I hand back to you speakers. We just received another question it is from Jan Erik Gjerland, ABG. Your line is open, please go ahead.
Jan Erik Gjerland: Thank you for taking my question at last. Just still on the buybacks, did I hear you correctly that if you were not finished with the buybacks for the next AGM, i.e. 2023, you will consider then a special dividend to get sort of the excess capital out at the time, or do you think you will continue with another buybacks to sort of execute the final Nordea sale? Just to clarify.
Knut Arne Alsaker: I didn't say the first. Let's come back to the size of the buyback and that would also be a clear indication for how long that would take given sort of average trading volume roughly. 
Torbjörn Magnusson: Let's see what the share price is in the year.
Knut Arne Alsaker: Yes. but of course in terms of returning excess capital if we are in such a position also going forward after deploying the proceeds from Friday to return excess capital both as buybacks or special dividends going forward is of course, a part of our capital management framework. It was not a specific comment to May of next year if you understand what I mean Jan Erik.
Jan Erik Gjerland: Okay. Thank you. Then on Hastings, is your operating ratio guidance of below 88% still stands? And how much of your price increases will that have to come through for this year to make that happen starting at 92.5% for the first quarter? Did you increase prices fast last year so that you still have a sort of a catch-up on the pricing side and to get into this to get the improvement in the operating ratio, or how should you read the 88% level for 2022?
Torbjörn Magnusson: A bit like I described and some of the companies has also described we were cautious at the end of the last year and then increased prices for the general insurance pricing practices reform on 1/1. But then we were caught as the rest of the market it seems by higher claims inflation than that. So, we're pricing -- we're certainly pricing now to reach our targets. And yes -- and that's the background to it.
Jan Erik Gjerland: Okay. So, the current pricing will then take another year to receive so to speak. So, we will see sort of gradual improvement during the year and then maybe a more even speed into 2023 if I read it correctly Torbjörn.
Torbjörn Magnusson: Provided claims inflation behaves.
Jan Erik Gjerland: Of course. That’s good answer. Finally, on the -- you said that on commercial and industrial have the most price increases. The disposable income for both corporate as well as households are, of course, diminishing with the energy prices and food prices et cetera and even mortgages. So, how certain should we be that the volume is keeping up as today with the price increases because people may not afford to pay the full price you're asking them to pay and by that they may lower the volume per year? Is that sort of a risk we should think about because of the disposable income pressure we have from all parts in the Nordic space?
Morten Thorsrud: I think Jan Erik we typically haven't seen this in the earlier periods. So, I would not expect any material effect from such change in behavior. I think insurance is one of the last things that households cut down on. So, I don't think you will see any material effect from that at least.
Jan Erik Gjerland: Okay. Thank you for your answers.
Operator: [Operator Instructions] And the next question is from Phil Ross, Mediobanca. Your line is open, please go ahead.
Phil Ross: Hi there. Good afternoon. At the CMD, you talked about managing non-P&C operations for value. I guess the PE portfolio that you mentioned it's difficult to set a time for any sales there. But how should we think about Mandatum in that context now that Nordea is gone and especially when we've seen interest in Nordic markets and life and savings companies more recently?
Torbjörn Magnusson: We are not interested to grow Mandatum as a unit-linked operation outside of the Finnish markets. We are though very pleased with Mandatum. And it helps -- it has a good fit with the rest of the group but it helps support us with internal dividends. So, a good company, good performance, good development, but managed for value.
Phil Ross: Thank you.
Operator: We now have a follow-up question from Ashik Musaddi, Morgan Stanley. Please go ahead, your line is now open.
Ashik Musaddi: Yes, thank you and sorry. Just one quick question. I mean given that you have already done a reasonable amount of capital return €1 billion buyback and a special dividend at full year and you are looking to get authorization for another buyback. So, is it fair to say that you're not keen on buying full Topdanmark at the moment because you'll be using most of your proceeds to do capital return? How should we read into that? Yes. Thank you.
Torbjörn Magnusson: With or without buybacks special dividends whatever, I don't see an opportunity to buy the rest of Topdanmark at these prices.
Ashik Musaddi: Okay. That’s very clear. Thank you. So, it's the price which is the main factor at the moment.
Torbjörn Magnusson: We've got the money.
Ashik Musaddi: Well, exactly I mean you got the money, but clearly you're not doing it. So, it comes down to the price. Okay that's clear. Thank you.
Operator: There are no further questions. I now hand back to you.
Sami Taipalus: Thank you, operator and thank you everyone for your attention today and we look forward to seeing you all on the road soon.